Operator: Good day, ladies and gentlemen, and welcome to the Cameco Corporation Fourth Quarter Results Conference Call. I would now like to turn the meeting over to Ms. Rachelle Girard, Director Investor Relations. Please go ahead, Ms. Girard.
Rachelle Girard: Thank you, Anne, and good morning, everyone. Thanks for joining us. Welcome to Cameco's Fourth Quarter and Year-end Conference Call to discuss financial results. With us today on the call are Tim Gitzel, President and CEO; Grant Isaac, Senior Vice President and Chief Financial Officer; Ken Seitz, Senior Vice President and Chief Commercial Officer; Bob Steane, Senior Vice President and Chief Operating Officer; and Alice Wong, Senior Vice President and Chief Corporate Officer. Tim will begin with comments on the quarter, the full year, the outlook for 2013 and the industry. Then we'll open it up to your questions. Today's conference call is open to all members of the investment community, including the media. [Operator Instructions] Please note that this conference call will include forward-looking information, which is based on a number of assumptions, and actual results could differ materially. Please refer to our annual information form and MD&A for more information about the factors that could cause these different results and the assumptions we have made. With that, I will turn it over to Tim.
Timothy S. Gitzel: So thank you, Rachelle, and welcome to everyone who has joined us on the call today as we discuss Cameco's annual and fourth quarter results. 2012 was again a busy year and I'll get into some of the details as I go through the results, but I want to start with the 3 things to take away from today's call. First, 2012 was another strong year for Cameco. Second, the near-term challenges in a market have remained for longer than expected and we saw that reflected in the market environment in 2012. And third, the long-term outlook for the industry continues to be very strong with average annual growth in uranium demand expected to be around 3% out to 2022. So let's start with Cameco's results. We always emphasized that annual results are a truer representation of the performance of the company, and I will focus primarily on those. Most importantly, we delivered on and in some cases, exceeded our guidance for the year. We achieved of production of 21.9 million pounds and sales volumes of 32.5 million pounds heavily weighted to the second half of the year. Our revenue was $2.3 billion, which is only down 3% from our record revenue last year. However, our net earnings were down from last year as a result of a write-down of the Kintyre property and lower earnings from our Uranium segment. The decrease in the Uranium segment was primarily a result of a lower average realized uranium price and increased production cost. Looking forward for 2013, we expect to increase production to 23.3 million pounds and to increase revenue from our Uranium and Fuel Services segments by up to 5%. Our outlook doesn't include revenue from Bruce Power because after January 1, 2013, IFRS requires that we account for our investment using the equity method of accounting. This means we will report our share of their earnings before taxes as a single line item on our earnings statement. And while we don't normally provide a quarterly outlook, we feel it is necessary to do so for the first quarter of 2013, as there are some unusual items that will result in significantly lower adjusted net earnings than in the first quarter of 2012. Deliveries are always lumpy throughout the year. However, we expect uranium deliveries in Q1 to be significantly lower than usual, in the range of 5 million to 6 million pounds compared to 8 in the first quarter last year. Around 60% of our deliveries will be in the second half of the year. We also expect the first quarter to be impacted by lower earnings from Bruce Power due to a large number of scheduled outages. I want to emphasize that this guidance is for the first quarter only and does not reflect our outlook for the rest of 2013. Throughout the year, we will continue to invest significantly in our growth plans. As we announced in our third quarter, we are pursuing 36 million pounds of annual supply by 2018, primarily through expansions at our existing operations and through the development of Cigar Lake. This approach has the advantage of narrowing our focus to properties that benefit from existing infrastructure, workforce and positive relationships with communities, governments and regulators. It will allow us to enhance our near-term financial picture by spreading our capital spend over a longer period of time. And we saw good progress on our plans in 2012 with the highlight being Cigar Lake. We completed a lot of key infrastructure and began commissioning the jet boring system underground. We expect the mine to come into production mid-2013 and produce the first packaged pounds in the fourth quarter. And I can tell you that after many years of efforts to bring this mine online, we're looking forward to start up later this year. Cigar Lake will be a 2013 highlight, not only because of first production, but also because of the safety culture we fostered there and throughout the company. It's something I like to think we're known for and is the foundation of our focus on operational excellence. It's important that we keep delivering on operational excellence as we expand our production in order to help fulfill the market demand we see coming over the next decade and beyond. With 64 reactors under construction today and uranium demand growing by an average of 3% per year to 2022, it's clear that there is strong long term growth for our industry. To put it into perspective, we haven't seen this kind of growth since the 1970s when countries like France, countries in Western Europe, Japan and the U.S. were all building reactors. This growth story is made even stronger by the fact that secondary supplies which have historically bridged the gap between production and consumption are diminishing. We know that the Russian highly enriched uranium commercial agreement comes to an end this year. The magnitude of this event is apparent if we think about it in terms of our own production. The end of that agreement will mean the removal from the market of more annual pounds than Cameco's entire production in 2012. But it's not just secondary supply that's diminishing, primary supply is also becoming more uncertain. In 2012, many producers, including Cameco, delayed or canceled projects due to uranium prices below where new projects are economic. We can't predict the exact effect of these delays, But every day, these projects don't move forward, the larger the future demand supply gap becomes, as we move into an environment where demand is more certain and predicable but supply is becoming less certain and less predictable. So you can see why we are optimistic about the future for the industry and for our company. Now that's not to say that the outlook for the near-term is as strong. The events in Japan, as well as the global economic slowdown have had a significant effect on the near-term. The uncertainty around Japan's reactor fleet, as well as some retirements of older reactors, have led to excess inventories and discretionary buying resulting in diminished near-term demand. This situation has persisted for longer than we had expected and there was little improvement in 2012. But I would say that we did start to see some positive developments that could begin to catalyze improvement. In Japan, the establishment of the Nuclear Regulatory Authority brings important stability to the regulatory environment and has already brought some clarity to the issue of reactor restarts. And while although Japan's energy policy is still to be determined, we believe the election of the Liberal Democratic Party will be similarly positive for the industry. In China, another important jurisdiction for our industry, the approval of new reactor construction has resumed. That occurred late in 2012 and since then, construction on 4 new reactors has begun. And, of course, I already mentioned the end of the HEU supply in 2013, which will take 24 million pounds per year off the market. So we've started to see the catalysts for movement forward. And as utilities need to begin ramping up, contracting activities well in advance of their requirements becoming uncovered, we think this movement will continue and will gain momentum. That's why we believe it is important not only to continue to pursue our current growth plans, but also to prepare for further demand into the future. You saw this in 2012 when we acquired the Yeelirrie project and the greater portion of the Millennium project. Both of these are world-class assets that we believe will serve us well into the future. Millennium is right in our backyard, and we have a lot of infrastructure and experience there already. And Yeelirrie, I'm sure many of you have heard me say, is a deal I would do every day. We think it's a great asset that we got at a fair price. Of course, NUKEM was our other acquisition in 2012 that adds a new segment to our business. Since then, we've been asked how NUKEM fits with our business and in what we do. And our answer is that primary uranium production remains our core business and our core focus, but trading and secondary supply is another significant part of the industry, and we'd rather participate in that aspect of the market than sit on the sidelines. This acquisition gives us access to unconventional and secondary sources of supply, thereby strengthening our position in nuclear fuel markets and complementing our core business. So 2012 was a busy and a challenging year, but I'm proud to say that our team, again, delivered strong performance. I'd expect 2013 will be similar in those respects, and I remain confident in the outlook for the industry and in our own ability to continue growing the company and building value for our shareholders. So with that, we'd be pleased to answer any questions and I'll turn it back over to the operator.
Operator: [Operator Instructions] Our first question is from Ralph Profiti of Credit Suisse.
Ralph M. Profiti - Crédit Suisse AG, Research Division: I have 2 questions. Firstly, the environmental assessments and approval on McArthur River seems to have changed in terms of procedures within the Canadian Nuclear Safety Council. Is this indeed a procedural change or is there something that has changed within the scope of that expansion plans that are result of this new agency approving it?
Timothy S. Gitzel: Ralph, it's Tim. I don't think there has been any change to the scope of what we proposed there, certainly, at the federal level. Over the course of 2012, the federal government has been very active in, I would our say, streamlining the environmental assessment rules and regulations in Canada. They put forward new legislation, making it -- making the process more certain and predicable, the time lines more certain. So those pieces have changed, but with respect to our proposal, it remains the same.
Ralph M. Profiti - Crédit Suisse AG, Research Division: Understood. My follow-up question is on the 2007 tax reassessment. I just want to clarify that the $54 million in tax assessments under dispute is after tax loss carryforwards are taken into account. And if you can also give some clarity on where you are in that litigation process that would be very useful.
Timothy S. Gitzel: Ralph, I'm going to turn you over to Grant Isaac to answer the first part of the question. I'll just say on the second part as to where we are on the litigation, the litigation, the lawyers continue to work on the file. We're moving into, I think, the discovery phase of the file, which would probably take most of this year to do. And then I think, we're probably looking at, hopefully, going to court sometime in 2014, but we just don't know that. That, as you know, is driven by the lawyers. So in the discovery phase this year and we'll see what happens going forward. But I'll turn it over to Grant to give you a little bit more of information.
Grant E. Isaac: Yes. Thanks, Tim. Ralph, with respect to the 2007, reassessments, there are provisions in the Tax Act that, of course, require companies to pay half of the tax associated with these types of reassessments. And so for 2007, that was $54 million, so half of that, $27 million. In the past, what we've been able to do is take those assessments and put them against the tax loss carryforwards. And so we've exhausted that option, so now we're in the paying the half, the reassessed amount, and will continue on that path until the settlement and Tim did describe the process there.
Operator: Our next question is from Oscar Cabrera of Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch, Research Division: I want to start with the -- your uranium forecast in Kazakhstan. And during the last conference call, you provided context around why these permits are taking so long to achieve. Can you just provide an update on where you are and how confident are you on getting the permits, and therefore, the higher production levels that you quote in your release.
Timothy S. Gitzel: So just let me say on the production side, the good news for us is the plant is operating at the 2,000-ton design capacity now, and has been for some period of time now which is good news. We are waiting on one final approval or permit from the government to have full authority to produce at the 2,000 ton a year level in 2013. We're in contact with them every day, and we understand it's forthcoming, we just haven't received the piece of paper yet. So with that said, we are producing, in any event, at the 2,000-ton per year level in 2013 and will continue to do so.
Oscar Cabrera - BofA Merrill Lynch, Research Division: That's great. Then on the new segment, in NUKEM, you provided an outlook for '13. But just wondering what the -- in terms of sales, you mentioned 9 million to 11 million pounds in 2013 but that includes HEU sales. So wondering how that profile would look in 2014 or going forward.
Timothy S. Gitzel: So Oscar, let me turn you over to Ken Seitz, who's been very deep on the NUKEM file and can answer that question for you.
Kenneth A. Seitz: Yes, absolutely, Tim. So it's a fair comment that the large part of the volumes for NUKEM are HEU. But if we look back in NUKEM's past even prior to HEU, they've always done sort of that 3,000 to 4,000-ton range per year, and that has to do with some term contracting, where they're getting term supplies out of places like Kazakhstan and Uzbekistan and then spot market activity as well. But if you put that all together and it results in a sustainable sort of 4,000-ton per year. At least that's how we're seeing the future.
Oscar Cabrera - BofA Merrill Lynch, Research Division: I'm sorry. I'm not wanting to hog the floor, but those 4,000 tons after HEU, would the profit margin change much if uranium prices were going to change?
Kenneth A. Seitz: Yes, I think it's fair to say that for those involved in the HEU agreement, those are fairly attractively-priced pounds. And yes, for NUKEM, as the HEU pounds come off and they look for new volumes and continue to transact, as I said, looking at the spot and the term market, I think, we can assume that they will go to sort of standard trading margins for our business.
Operator: Our next question is from Greg Barnes of TD Securities.
Greg Barnes - TD Securities Equity Research: I just want to get back to the CRA tax audits and you've been running a very, very low tax rate, if not a recovery for a very long time. Grant, how do you see that evolving over the next 5 years?
Grant E. Isaac: Yes, Greg. We did put out some guidance to give you an idea of what the -- really, what's happening there from a structure point of view. One of the things that we've been able to benefit from over the years are the long-term sales contracts. But, of course, those have been underpinned with long-term transfer price agreements. And so what we're doing, obviously, is taking advantage of those transfer price agreements, but they'll have to be renegotiated eventually. So the guidance we put out said that after the 2016 period is when we look to be transacting under new transfer price agreements. Those will be negotiated at -- more at the market at the time that those negotiations occur. So that kind of gives you an idea of the structure and what we're looking at going forward. We continue to believe that, that structure we have in place is the correct one, and therefore, we are contesting the CRA's view on it. And we're not surprised in these types of disagreements, really, the tax authorities are typically testing 2 things. They're testing, is the governance relationship right? And then if test one is passed, they are asking, is the transfer price right within that governance arrangement? And our view continues to be that on both those, we're exactly where we need to be. As Tim said, these are processes that do take a long time to play out, and -- but we continue to push our case.
Greg Barnes - TD Securities Equity Research: Okay. I'll move on to another subject then, and I guess, it's a question for Ken. I'm trying to understand what's happening in Japan with regards to the utilities, who clearly, obviously, the reactors are not online. Are they still purchasing the material they have under long-term contracts?
Kenneth A. Seitz: Yes. Greg, absolutely, I can tell you that when we've talked in the past about Cameco looking at deferrals and agreeing some of those in some cases and then even buying back inventories when it makes sense for us, but we have seen really that drop off. And I think, it has a lot to do with the new federal government in Japan and perhaps some more certainty there. The Nuclear Regulatory Authority, that Tim referenced in his opening remarks being in place and new safety guidelines underway and a path, albeit, it's going to take some time but a path toward restarts, that I think is giving the Japanese utilities confidence that those inventories that they're holding are going to be required. I just found it interesting, Yorks Consulting just put out some numbers at the end of last year that those utilities have spent somewhere between $12 billion and $13 billion on safety upgrades for their units. So they're very much thinking that their units are going to restart, and we see that with respect to their inventories and how they are treating them and that we have, for the past little while now, not have any -- haven't had requests for those types of deferrals or buying back inventories.
Greg Barnes - TD Securities Equity Research: Okay, I just -- it seems to me though, that they're continuing to buy over this 2 or 3 year period, whatever it continues to be. They will be building a fairly large stockpile of uranium.
Kenneth A. Seitz: Yes, that's fair comment. For every year that the Japanese utilities are not operating their units, it's 20 million pounds. That's what they're consuming prior to the March 11, 2011 events in Japan. So yes, I think, that's a fair to say. But again, they're holding onto those inventories. We're delivering about 10% of our portfolio into Japan this year and that's what we expect to do. So it's a fair comment, Greg, that some inventories are building, but they're holding onto them with some expectation their units are going to run.
Operator: Our next question is from Edward Sterck of BMO.
Edward Sterck - BMO Capital Markets Canada: So I've just got a couple of questions here. The first one is on Cigar Lake. Production is scheduled to start later this year, but I was just wondering when it was expected that commercial production from an income statement perspective would be declared?
Timothy S. Gitzel: So Edward, you're indeed right. We are planning to start up commissioning in the mine in mid this year, and then have the first package of pounds by the end of the year, so we're happy about that. I'm going to ask Grant to talk about the commercial production piece because it's a little bit -- well, it's an important piece and it's a little bit different. So Grant, you want to talk to that.
Grant E. Isaac: Yes, happy to do that. It's a good question, Ed. We've been asked that quite a bit lately. With the transition to IFRS and, of course, that's an accounting system that's always looking for a principal behind the decision, rather than applying a rule and saying 70% of production capacity or nameplate capacity or 60%, I mean, we'd watched as U.S. GAAP over the years has gotten a little more stringent and a little more stringent in terms of when you could declare commercial production. Under IFRS, it's more of a principle. And if you want to think about it conceptually, it's when you're producing from asset according to the mine plant and the mining method with production infrastructure largely in place. And so what it means for an asset like Cigar Lake, its commercial production will likely be declared early in 2014 and, of course, this is an asset that ramps up, takes a number of years to ramp up, 2017, towards the end of 2017, it will be at full production. And so that ramp up schedule that you've seen in the technical report, the latest technical report will apply. But from a profit and loss point of view, it means that the first pounds that come out of Cigar Lake are, of course, at a high cost because they don't benefit from the big denominator. So commercial production according to that principle, being declared rather early, but that's an accounting treatment.
Edward Sterck - BMO Capital Markets Canada: Okay. Fantastic. And then my follow-up question is just in relation to NUKEM and the amortization of the acquisition costs. Is that only going to be on the HEU sales or will some of that acquisition costs, amortization be allocated to ongoing uranium sales and ongoing SWU sales?
Grant E. Isaac: Yes, so NUKEM is, of course, a 2013 event. And so we wanted to disclose a bit of a framework for thinking about it, but keep in mind our quarter 1 results in 2013 is where we'll indicate the purchase price allocation and the opening balance for that segment. But what I can tell you is that the process of going through and applying value is right across the contract portfolio, HEU included, as well as other commitments that NUKEM might have in place.
Operator: [Operator Instructions] Our next question is from Tyler Langton of JPMorgan.
Tyler J. Langton - JP Morgan Chase & Co, Research Division: I think you mentioned in the release that some of the future supply gap that you guys see could be filled by additions to secondary supplies. Were you thinking about anything specific there and just can you talk about how large that could be?
Timothy S. Gitzel: Ken, do you want to take that?
Kenneth A. Seitz: Sure. So I'm aware of the view that secondary supplies will occupy a certain portion of our market for many years to come and it's things like the U.S. government with inventories there, over 100 million pounds still sitting there. And while the U.S. government has had some rules in place for that to come to market, it's some form of supply coming out of that part of the world, we think, for some time to come. If we look at -- into Russia, the end of the HEU agreement is a very substantial source of supply going away. But in addition to the HEU, we know that the Russians, they, for example, down blend some high-assay tails material and then some other [indiscernible] that are there in the market. So we essentially assume that the secondary supplies over and above the HEU agreement that are in the market today continue. Will it occupy a substantial portion of the market? Certainly not. When we look at the supply gap that exists between the growing demand line and the HEU going away, we feel that, that needs to come entirely from new mine production. And so is it a growing source of supply? No, it's not. New supply is going to need to come from new production.
Tyler J. Langton - JP Morgan Chase & Co, Research Division: Okay. Great. On NUKEM and other clarification. The 3% to 5% margins, were those from EBIT operating margins or are they post tax margins?
Timothy S. Gitzel: Ken?
Kenneth A. Seitz: Those are EBITDA margins, about 3% to 5%. And I'd like to stress that, that's just a forecast, but I think it's a fair assumption today.
Operator: Our next question is from John Hughes of Desjardins Securities.
John Hughes - Desjardins Securities Inc., Research Division: Just well, 2 quick ones. On Kintyre, with the write-off now, what is the balance sheet value? I know it was $346 million to buy it in '08. So I'm just wondering, as we stand going forward following the recent balance sheet adjustment, what do you have on the balance sheet that's left?
Timothy S. Gitzel: So, John, Grant is just searching through his paper here to find that number. Do you have it Grant?
Grant E. Isaac: Yes. It's about $250 million.
John Hughes - Desjardins Securities Inc., Research Division: So is that sort of, in essence, mark-to-market in each quarter?
Grant E. Isaac: Yes. Well, you do, certainly, the normal currency translation when you do your balance sheet adjustment. And in this case, we valued it using a fair value less cost to sell approach. So that's what will remain on the balance sheet for Kintyre.
John Hughes - Desjardins Securities Inc., Research Division: Okay. Great. Second question, UraniumOne, pending going private. I'm wondering what are you seeing in -- do you anticipate any change in production in Kazakhstan as a result of this corporate change with UUU, or can you sort of bring us up-to-date on what you're seeing on production in Kazakhstan?
Timothy S. Gitzel: Sure, John. I don't think this event would trigger any kind of a change to production in Kazakhstan. You've seen them put out their numbers for the year. I think, they're just 20,000 ton again this year. Pretty stable production over the last 3 years, holding the line on production there. And so we're in constant contact with them. And I think, they plan to hold their production pretty tight until they can see, like the rest of us, some improvements in the market and more demand. So for now, I don't think the UraniumOne takeover, if you like, by the Russians is going to have any effect on Kazakh production.
John Hughes - Desjardins Securities Inc., Research Division: Okay, great. So I'll squeeze one more, if I could. Just -- Japan with timing on potential announcements on reactor restart, do have any feel for that? Is it sort of a summer period, fall period? Any help would be appreciated.
Timothy S. Gitzel: So what we've heard from them is summer 2013, is when the NRA would have their new safety standards in place. And then reactor owners would compare their reactors to the standards and have to be able to convince the NRA that they're ready to restart. So we see mid-2013 as an important period of time where we, hopefully, will see some new reactors coming on by the end of this year. I think, our analysis shows 6 to 8 restarts this year. So if that's a case, we'd be happy to see that program moving forward.
Operator: Our next question is from Evan Moor [ph] of Sim [ph] Magazine.
Unknown Attendee: I was wondering, 2 questions about Canadian exploration activities in the future. You said that you're focusing on expanding the existing projects given the uncertainty. So I'm wondering a couple of things. First, what would it take to return to exploration on the Turqavik-Aberdeen project in Nunavut? I know that you are not planning to go up there this year, but what would it take to return, say, next year or in the coming years? Let's just go with that one first.
Timothy S. Gitzel: Yes, sure. So we're -- we always look at our exploration budget and what the appropriate amount to allocate to our project is. We are focusing, I think, in 2013 more on some of our brownfield projects with our exploration dollars. We do have, as you know, a really great suite of reserves and resources in hand now, which has only been added to by the acquisitions we made last year, chunk of Millennium that we got from AREVA and, of course, Yeelirrie as well. So we take that all into account when we determine our exploration budget. For the Turqavik-Aberdeen project, that's a project we've slowed down on for the moment. We're, as I say, we're allocating our dollars more to brownfields. Those exploration dollars to some extent are linked to how the business is doing, and so we'll look at that going forward. So certainly, it's an important project for us, we just haven't allocated the big budget in 2013.
Unknown Attendee: Second question, the continuing Canadian ban on foreign ownership of uranium mines. Do you see this as an opportunity to join in on other projects that foreign companies might be undertaking in the Athabasca Basin.
Timothy S. Gitzel: Well, the non-resident ownership policy has been in place for a long time, and I don't think it's inhibited anyone from coming to the basin. Our friends with AREVA, our operating mines in Saskatchewan, we see others, we've seen Rio Tinto come into the basin. We've seen many other countries and companies come in. So it doesn't seem to have slowed down anyone coming in. I think, AREVA has been happy. They've been getting exemptions to the policy to operate their projects. So for the moment, as I say, it doesn't seem to be slowing down any spending on exploration in Saskatchewan.
Unknown Attendee: As far as the actual investment on the part of non-Canadian companies that seems to be true. On the other hand, someone like Rio Tinto, with their Roughrider project, I'm told that all their current modeling is based on 100% ownership model, but are such investments something that you're looking at as potential joint venture opportunities?
Timothy S. Gitzel: We have our hands full in the Athabasca Basin. We think we've covered the best properties up there. We have been there for 30, 40 years and have really a lot of great projects already and we're only adding to them. So you'd have to check with Rio Tinto as to their plans with the Roughrider project, but we're delighted with the portfolio we have.
Operator: Our next question is from Orest Wowkodaw of Canaccord Genuity.
Orest Wowkodaw - Canaccord Genuity, Research Division: Just wanted to circle back again around this the CRA review of your tax situation. Am I reading it correctly that we're -- so far we're just talking about 2007, and what's the risk that they start looking at all the prior years, given that you guys have paid, sorry, very little tax in Canada for quite some time. I mean, how material could this get for you is my question.
Timothy S. Gitzel: Grant, do you want to?
Grant E. Isaac: Yes, well, you've watched as we disclosed it in the notes to the financial statements, and what we've done there is try to give folks an idea of where the case is at. Both from a conceptual point of view and that is what's being contested in our view that it's incorrect, as well as where we're building so far to 2007. But it is fair to say that it is a structure that does go on past 2007. It's the structure that we currently use today. Our view is that, that is a structure that is correct. And so we do say that according to our -- the opinions we get from our external advisers and the view that we have, we take a provision on that basis. And that provision currently at $63 million is designed to reflect the uncertainties as we see them in the litigation process. But we are careful to say that in the event that the CRA case doesn't go our way that there would be an impact and -- but at the moment, that's not our expectation, and currently, that's not the basis of our provision.
Orest Wowkodaw - Canaccord Genuity, Research Division: But can you qualify that? If the CRA decision goes against you, doesn't that just open up the floodgates here in terms of all prior years?
Timothy S. Gitzel: Well, there would be a lot of assumptions there behind what the dispute looks like and the process under which we go through the contest. But I think, it's fair to say we don't know what their reassessment decision is for any given year until they send it to us, and at the moment, all we have is 2007. So I'll be purely speculating on what they would be doing 28 -- 2008 and beyond.
Operator: Our next question is from Brian MacArthur of UBS.
Brian MacArthur - UBS Investment Bank, Research Division: I have a couple of questions. Just I want to be clear about this. On the NUKEM, you talked about a 3% to 5% EBITDA on 2013. But I assume in that, we obviously have the HEU stuff, which I would think is still the most profitable. Does that mean going forward after that, we expect that margin to drop or is there something else going on there?
Timothy S. Gitzel: Ken, can I ask you to answer that, please?
Kenneth A. Seitz: Sure. Brian, the 3% to 5%, we quote that as a, mentioned earlier, just a forecasted number and it is beyond the HEU volumes. And so, yes, this is not a -- this is beyond 2013. We've been saying around 3% to 5%.
Brian MacArthur - UBS Investment Bank, Research Division: Okay. So that's kind of ongoing. And will the sales sort of be similar -- I mean obviously, it's subject to price, but that $500 million to $600 million number, that's what you foresee you'd see going forward. Is that reasonable?
Kenneth A. Seitz: Well, I think you put it well. It's subject to a number of assumptions, but yes, when we look at the volumes and again some assumptions behind it, we say sort of that 4,000-ton range. So that's correct, Brian.
Brian MacArthur - UBS Investment Bank, Research Division: And the second thing is, you did mention this year you have long-term contracts to purchase 12 million pounds and I assume that's all x NUKEM. That's a reasonably high number. And obviously, we'll get an uptick in the HEU as it cleans up this year. Like, going forward -- because this obviously affects the tax rate we were discussing earlier. Is that going to drop like 3 million to 5 million pounds is more what I should be thinking forward, and is that sort of what you're basing that tax rate on going forward, that sort of magnitude?
Timothy S. Gitzel: Ken?
Kenneth A. Seitz: Well, Brian, I'd really hate to quote any assumptions around future purchase expectations. So x HEU will always be in the market purchasing. I think that's fair to say. When we think uranium is a good deal we're get in and buy. We will, from time to time, do that under long-term arrangements as well. But at this point, I really wouldn't want to quote any numbers.
Brian MacArthur - UBS Investment Bank, Research Division: Okay. Fair enough. I just was trying to get a feel because this obviously looks like a very high number this year, which I assume is more just because of the HEU topic not anything else, right?
Kenneth A. Seitz: Right. Yes.
Operator: Our next question is from David Sadowski of Raymond James.
David Sadowski - Raymond James Ltd., Research Division: Just a couple of questions on production over the next few years. Firstly, can you confirm that throttling back on output from the U.S. ISO is due to permitting, I guess, what you'd call sluggishness? And secondly on Rabbit Lake, with expected production higher there now, can you provide any updates as to when you'll be working low on reserves and tailing capacity?
Timothy S. Gitzel: Yes, David, you're right on the first one. The sluggishness is a good description of the permitting process there, but I'm going to ask Bob Steane to just give an update on both of those matters. Bob?
Robert A. Steane: Yes, David, as Tim said, that's exactly right that our hopes and aspirations in U.S. permitting is running slower than anticipated and continues to stay even and slightly increase as we go forward. The Rabbit Lake, our latest reserves, we've got about 20 million pounds of reserves. In current production we've got 4 or 5 years of production, something like that under the -- what we have in our existing reserves.
David Sadowski - Raymond James Ltd., Research Division: Okay. And what about the tailing capacity? Is that affected by this uptake in production expectations there?
Robert A. Steane: Actually, no. The tailing capacity, our existing selling capacity is adequate for the existing Rabbit Lake reserves. Well, a big change there has been the change of the Cigar Lake, northern strategy implementation with Cigar Lake all going to the JEB mill, McClean Lake Jeb bill, for processing that's freed up some space at the Rabbit Lake side. Plus we've had some reasonable success with process improvements getting better densities in the tailing has added some more capacity as well and some success in throwing and some Icelanders [ph]. So all in all, we are good for the current Rabbit Lake reserves in the existing Rabbit Lake [indiscernible]. That said, we are undergoing an environmental assessment for an expansion should we need it. So we're continuing, if you follow the regulatory process, we are continuing with our application for doing the environmental impact statement for the expansion and so we will have that in place. Should we need it, we will be able to deploy.
Operator: Our next question is from David Paddon of Canadian Press.
David Paddon: I'd like to just revisit the Kintyre write-down. And I appreciate that, in your view, it was a good deal at a fair price when it was done. But can you explain why or when you think it will start to pay off as far as in the current situation following the Japanese problems with the nuclear industry and how it's spread out?
Timothy S. Gitzel: Yes, thanks, David. So as you know, that property was acquired in 2008 and 2008 was a different lifetime, quite frankly, our business, pre-financial meltdown, pre-Fukushima. And so it's a good project, it remains a good project. There are significant resources there that we're planning on exploiting in the future, but right now in the market you've seen us put out numbers that we need higher uranium price or more pounds or preferably, as I say, both. And so we were working on that this year. Our drill results around the ore body weren't as encouraging as we'd hoped. So we've put it on into our bull pen for now. But we'd have to see an improved uranium market to pull that project back out.
David Paddon: So can you give me some sense of how much improved like in terms of either the price or the demand or something to that effect?
Timothy S. Gitzel: Yes, I think we said we used the number of $67 a pound would make the project interesting. So somewhere in that ballpark. And you've seen -- if you follow the market, you've seen others, our competitors are using $75 to $90 or $84 or somewhere in that market and we won't dispute those numbers. I think something certainly north of where it is today but in the $60 to $80 range would start to get people interested in moving projects ahead?
David Paddon: And just on a global big picture point of view. Some places cut back on their atomic energy programs or said they were going to after Fukushima. And, of course, Japan had to shut down theirs and are preparing to restart. Where is the overall demand or health of atomic energy today compared to prior to that disaster? And how long do you think until confidence is restored to that level that it was before that problem.
Timothy S. Gitzel: Yes, so clearly, Fukushima has had an effect. There's been a pause really to look at the reactor standards and safety, and there's some high-profile countries like Germany who had 17 reactors operating before Fukushima, quickly shut down 8 and are now just running 9 now on plan to phase out over time and we will watch how that unfolds. What gets a bit lost though is the continued growth that we see especially in Asia. And China today I think has 29 units under construction, 16 operating and plans for dozens more by the end of the decade. South Korea continues to grow. India is continuing to grow. And we even see now countries in the Middle East like the United Arab Emirates with 4 units under construction. So we see growth. We see a 3% growth. As I said in my opening comments, over the next 10 years, 3% per year, that's significant growth. And at a time when supply of uranium is today balanced, but going forward, you lose 24 million pounds of HEUs starting next year. You have projects including ours, the Kintyre piece we just talked about, but I can name many others that have been put on the shelf as being noneconomic in this market. And so we think those fundamentals are good for Cameco and for the uranium business. And we're still growing, we're growing from the 22 million pounds we produced in 2012 to 36 million in 2018 to be ready exactly for that growth in the market.
Operator: Our next question is from Fraser Phillips of RBC Capital Markets.
H. Fraser Phillips - RBC Capital Markets, LLC, Research Division: Just 2 points of clarification. One, Ken, with respect to NUKEM, I heard the volumes. I think asked a similar question twice. I got the volumes from both as the same, but I thought you had said originally that the margins as you've quoted for 2013, because they necessarily included HEU would go down, be somewhat lower going forward and I didn't think I heard that the second time. Sorry, I just got to get that.
Kenneth A. Seitz: Yes, fair clarification, Fraser. It's the 3% to 5%, which again is a fairly rough number. We're just saying that when you were assuming that as an ongoing trading margin that the NUKEM business could make on those volumes. But it does not include the HEU. So don't use that number for 2013. We'll just use it for beyond.
H. Fraser Phillips - RBC Capital Markets, LLC, Research Division: Okay. Grant or Tim, just with respect to the tax situation again. The current litigation, does it only cover 2007 assessment or does it cover the prior assessments as well?
Timothy S. Gitzel: Yes. So in 2008 is when the dispute began with the CRA. And right now, it covers the period 2002 to 2007. And as the CRA gets close to the statute of limitations, if you will, on a year to be assessed, they've been rolling in subsequent years. So we're at 2007 now. As I've mentioned on an earlier answer, we don't know what the assessment looks like till it arrives. So for 2008 or 2009, we wouldn't receive that probably till the end of the year. So at the moment, it's just the periods 2002 to 2007. And, of course, what we're working on is our case to say that governance structure was right and therefore, within that governance structure, the transfer price methodology was correct. And our view results in the $63 million provision that we take reflecting the uncertainties of the litigation process.
H. Fraser Phillips - RBC Capital Markets, LLC, Research Division: So does the $63 million sort of represent potential, heaven forbid you lose the case, which you have to pay the further 50% you haven't already had to pay for those prior years and those $63 million, is that sort of estimate?
Timothy S. Gitzel: No. The $63 million comes from an assessment that we do on the transfer price methodology whereby you would make sure you're using a credible third-party expert to derive a population, if you will, of transfer price agreements. I mean, what we're trying to do is you're trying to model would an actor at that time, with that information have signed that transfer price agreement. So was it sufficiently or reasonably arm's length and as we model that, we just make -- we then bring out the data set to say that the agreement is certainly -- or said the agreements we've entered into do represent that population. But recognizing that these types of disputes come with uncertainties, we better take a bit of a provision to account for that. So it's from that perspective that the provision is taken. With respect to the cash taxes that are now being paid as part of an assessment. Well, because we view there are position, is right, we expect to recoup those.
H. Fraser Phillips - RBC Capital Markets, LLC, Research Division: Yes, and likewise if you say, heaven forbid you lose, would you have to repay or pay them the other $27 million plus. Is there other outstanding amounts for the previous year’s you'd have to pay?
Timothy S. Gitzel: For those would be covered with the tax loss carryforwards that were applied to get those assessments in the first place.
H. Fraser Phillips - RBC Capital Markets, LLC, Research Division: Okay. So you applied the full amount, not the 50%?
Timothy S. Gitzel: No. Still against the 50% of the reassessed amount.
H. Fraser Phillips - RBC Capital Markets, LLC, Research Division: So if you lose the case, you have to pay the other 50%?
Timothy S. Gitzel: Well, if that were the situation but that, of course, isn't not our expectation and not the basis of our provision.
Operator: Our next question is from Emily Meredith of Nuclear Intelligence Weekly.
Emily Meredith: My question is just how does this 3% growth in uranium demand take the Japanese situation into account for instance if they don't come on for more years than you expect but affect that 3% number?
Timothy S. Gitzel: That's a good question. We've, as I said, a little bit earlier, we made some assumptions regarding the nuclear fleet in Japan and the first one is that we expect 6 to 8 of the units to be restarted this year and then growth going forward, the other units to be back on. I think we would estimate that not all of the units in Japan that are existing today are coming back on, but most of them I think in the 40 unit range over the next several years. So that would be our assumption there.
Emily Meredith: And does that affect your growth projection given that they have their stockpiles? I mean when you're talking about 3% demand growth for uranium, if they've already got plenty of material in reserves, does it affect your 3% figure?
Timothy S. Gitzel: No. That's just one of the markets that we're watching. As I said, we're watching very closely China, South Korea, India and the Arab states as well that are getting into nuclear. And so that's an overall -- that 3% is an overall taking all of the countries, everyone involved in nuclear into account. Looking at their programs, studying them, we have people here that study them. We also watch what the other reporters like you and others are saying about it and then we draw our own conclusions. So we think that 3% growth is a prudent and reasonable estimate of the growth over time given both sides the reactors that may not come back on and the new growth.
Emily Meredith: And just to follow up really quickly, what is the margin that you're expecting for NUKEM in 2013?
Timothy S. Gitzel: Grant, do you have that?
Grant E. Isaac: Well, what we've said, and I'll just remind you that NUKEM is a 2013 event for us and so in quarter 1 2013, we'll be putting out our purchase price allocation and our opening balance on that segment. We intend to account for it on a segmented basis. We did acquire and the deal closed on January 9, 2013. So what we thought we would do is out a bit of a framework there for people to think about the gross margin and the cash flow coming from NUKEM. And as Ken has said a number of times today from the gross margin point of view, the range sort of 3% to 5% for 2013, more indicative of trading volumes. In Tim's opening remarks, he had mentioned that the core business and core value is mining and NUKEM provides some exciting trading opportunities, but those gross margins will be really from a trading point of view 3% to 5%.
Operator: Our next question is from John Tumazos of John Tumazos Very Independent Research.
John Charles Tumazos - John Tumazos Very Independent Research, LLC: Two questions, if I may. Allegheny Technologies has a business selling zircon alloys for nuclear plant operation. And they laid off half of their crews in January at their operation in the western U.S. expecting, I guess, poor demand for the zirconium alloys. Could you kind of comment on that vis-à-vis your own quarterly outlook? And second, there is, I guess, a code in the physics community that likes the element thorium as a reactor fuel and would you comment as to whether your deposits contain thorium and what you think of thorium as an alternative or supplement to uranium, for example, if there isn't enough uranium to fuel all the Chinese and Indian reactors coming.
Timothy S. Gitzel: Yes, certainly on the zirconium front, we are purchasers of zirconium for our fuel fab business that we run for the Candu units that we supply. It's pretty well business as usual for us. We have long-term supply agreements with our suppliers for zirconium. And so really no -- nothing new. There are no changes, a pretty steady business. Those reactors run, and we have good foresight on the fuel they need and the zirconium that we need. So nothing to report on that front. On the thorium piece, we could talk about that for some time. It's an issue that comes up probably every year at some point. The Indians probably are most advanced on thorium. Chinese talk about it but no one has taken it very far. And we certainly don't see it as being, I would say, a threat to uranium in the near term. And I see in the next 20 years, I think there's a lot of work has to get into it to make it any kind of a viable fuel alternative to uranium. So that would be many, many years down the road before that would threaten uranium fuel reactors.
John Charles Tumazos - John Tumazos Very Independent Research, LLC: Do you would think that you would want to pursue it as a product if, in fact, the Asian reactors are more than the uranium market -- the mines can supply.
Timothy S. Gitzel: We're certainly hoping for that outcome that there's more. But at the moment, we don't see it. We see enough uranium certainly in the near term. Your question's a good one. Long, long term, I think as the Chinese continue to build, and they have very aggressive plans and other countries that build up nuclear as an alternative to fossil fuels, because of, I mean, you just have to watch television and see Beijing on certain days. You can't see across the street. There are issues going forward, climate change, clean air, just security of supply and we think nuclear power is going to continue to play an ever increasing role in that. And so that's important. So that's more in uranium demand there. As I say right now, there's many years forward supply of uranium. Now that's not in the can. That's in the ground, and those are 2 different things. But as they say, some countries are looking at thorium as a possibility long, long term, but not for Cameco.
Operator: Our next question is from Edward Sterck of BMO.
Edward Sterck - BMO Capital Markets Canada: So I just have a couple of follow-up questions. First was just going back to taxation. If CRA's position was correct, which obviously I made the assumption that it's not, what would be the expected tax rate be in 2013 versus the forecast recovery of 15% to 20%.
Timothy S. Gitzel: Well, I actually don't have that number on hand. Obviously, that's a scenario that I'm not running because I don't actually think that that's the outcome that we're looking at. What we do say and it's in Note 24 of our financial statement is, and in there, under reassessment Section E, we go through the years that have been covered by this and then we go to how our provision is set up. And we do note that the resolution of this matter may result in liabilities that are higher or lower than the reserve being the provision of $63 million. We believe the ultimate resolution will not be material to Cameco's financial position, results of operations or liability in the years that are covered. We didn't go and say resolution of this matter stipulated by CRA would be material to Cameco's financial position, results of operations or liquidity in the years of resolution and other unfavorable outcomes basically should we lose that case. So our view is that our position is very strong. It's a view shared by our legal counsel, obviously. But in terms of what that ultimate impact would be, I don't have that number at hand.
Edward Sterck - BMO Capital Markets Canada: Fair enough. Just one follow-up question then on the reports of a storm in Kazakhstan, I think, last weekend or just the end of last week, or possibly the week before. Was there any impact on operations of Inkai? Have you any information on what the potential impact to your other operations in Kazakhstan might have been on absolute production basis and how long it might take to restore power to these sites?
Timothy S. Gitzel: Yes, I know Bob has some information on that. There was a storm in the Suzak region, I think, around Taukent mostly. It hasn't affected our operations but, Bob, do you have any further information on that?
Robert A. Steane: No. I really don't. Other than the date of the storm, as one would expect it or some power bumps on the system, and we have some very, very short-term power bumps at Inkai. It didn't have any impact or effect on operations at Inkai. And other than what we've all read in the paper and the news briefings. I don't know what the outcome has been to the other mines around the Taukent area. I just don't know any more than what's already out in the press.
Operator: Our next question is from Oscar Cabrera of Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch, Research Division: With regards to your CapEx, I must say that I missed the details that you provided before. In talking about your growth capital, what deposits are you spending this money on 2014 and '15.
Timothy S. Gitzel: Grant, you want to have the growth capital?
Grant E. Isaac: Oscar, that's a good question. You have picked up on a change in disclosure. And when you say that you missed the detail, that is something that we're working to clarify as we go through the quarterly reporting. And just for everyone else that may not have noticed it, what we've done in the past is we had growth and sustaining capital to capture our CapEx programs, but we discovered that while there may have been a very pure accounting way to define it and very simply, we just said, look, if it doesn't add pounds, it was going to be called sustaining capital even if that was CapEx that was being spent to enable either a sustained level of production. So what we wanted to do this year was break out the CapEx a little bit more. So you see a definition and if you think about it conceptually on the horizontal axis is time and on the vertical axis is production capacity and sustaining capital is what's spent to run an asset out on its regular production life, so of course, it declines. If you think about that production capacity line being constant, capacity replacement is the capital that's spent to keep at that production capacity level. And growth, of course, is to move to a higher level of capacity. So with respect to growth, Oscar, what you see in there is a switchover from completing the Cigar Lake project to then moving into McArthur River expansion because you'll note in the last technical report, McArthur River expansion has the increase from 18.7 million to 22 million pounds. So by definition, that's growth capital. So that's the switchover that you see in growth capital.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Okay. So it's entirely McArthur?
Grant E. Isaac: Well, it's not entirely McArthur but that would be the bigger weight of it and then the infrastructure requirements along with it.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Okay. Fair enough. Then the follow-up question to that is on your profile again, we're getting closer to 2018, but 2017, you're showing production of 31.5 million pounds. Where are we getting the balance to get to the 36 million pounds you're forecasting?
Timothy S. Gitzel: Well, Oscar, we have, as Grant said, McArthur River ramping up to 22. It will bring us some extra pounds. The U.S. as well is ramping up. And I think we have the -- sorry?
Grant E. Isaac: Rabbit Lake.
Timothy S. Gitzel: Yes. So and we have the Rabbit Lake. So with those pounds, the biggest chunk will come from McArthur River in the U.S.
Oscar Cabrera - BofA Merrill Lynch, Research Division: So basically, your existing operations will get you to 36 million pounds?
Timothy S. Gitzel: And we have as well the Talvivaara piece that, I'm sorry, just looking through it to add 1 million pounds. So, yes, existing plus that.
Operator: Our next question is from Greg Barnes of TD Securities.
Greg Barnes - TD Securities Equity Research: Grant, I hate to go back to this again, but on the tax issue, going forward now, if you are renegotiating the transfer pricing agreements, how do you anticipate your tax rate will evolve, to what level?
Grant E. Isaac: Well, you're going take me out into an area of forecasting that's going to make Rachelle very nervous here. Let me just say that if you think about it from a structured point of view, long-term supply agreements that allowed us to sign long-term transfer price agreements will move into a new period of transfer price agreements as the old ones expire out to sort of 2016 when the old ones come off, the new ones will come in. Those will be negotiated closer to the markets that we see today versus the markets that we may have saw in the late '90s, for example. You can imagine then that that's going to put upward pressure on our tax. But, of course, we will continue to structure our sales and our production according to what makes sense for our business needs and meeting the needs of our customers, and we will always look then within that business rationale to be tax efficient. So while we will have more production tax affected in Canada, Cigar Lake, McArthur River coming on and they'll be subject to transfer prices negotiated closer to the markets that we know them today, prices that we know today but ultimately, we will still market in a way that makes business sense for our customers and then look to consolidate a tax position at the net of those 2. So we will guide to market when we have more clarity on what that number is going to be, but right now our outlook is sort of the tax positions that you've seen so far is probably the appropriate ones to guide going forward out to the 2016 period.
Operator: [Operator Instructions] Our next question is from Evan Moor [ph] of Sim [ph] Magazine.
Unknown Attendee: I just have what I think are simple numbers questions. The forecast that you're using for the growth in uranium demand, does that include both the amount that would be required to initially stock new reactors and that would be required to keep all operating reactors running?
Timothy S. Gitzel: Yes, that's a great question. The answer is yes.
Unknown Attendee: Second number question. Despite the number 64 reactors currently under construction a number of times, I'm wondering, I assume that includes the 29 reactors that China is building. Does it also include reactors in Japan?
Timothy S. Gitzel: It does include 2 units in Japan that are under construction, and it does include the Chinese 29. Yes.
Unknown Attendee: I wonder what other component is going to make that up. It's just it's slightly different for numbers that's estimated everywhere. So I'm wondering, what are the points which should differ from, say, the world nuclear [indiscernible]?
Timothy S. Gitzel: So I can -- I have the time. I can give you, we have 29 in China, 10 in Russia, 7 in India, 4 in South Korea South, 2 in Taiwan, 2 in Japan, 2 in Pakistan, 2 in Slovakia, 1 in France, 1 in Finland, The Emirates 1, Brazil 1, we have the U.S. with 1 and Argentina with 1.
Operator: Our next question is from Brian MacArthur of UBS.
Brian MacArthur - UBS Investment Bank, Research Division: Sorry to go back to this tax again. But just to be really clear now going forward, everything you're talking about is x Bruce because it's going to be equity accounting going forward. So the tax rates we're talking about are combination of the uranium business, the conversion business and the fabrication business, is that right?
Grant E. Isaac: Yes, it is right. So under equity accounting, Bruce will just come in as one line item, which will be earnings before taxes. So then there will be a bit of a tax effect for Bruce, but the weight of it are the components that you've identified.
Operator: Our next question is from Edward Sterck of BMO.
Edward Sterck - BMO Capital Markets Canada: I'm sorry, coming back for third round of questions. The first is on Talvivaara. Is there any -- is the agreement there collateralized on anything or was it just straight investments on behalf of Cameco?
Timothy S. Gitzel: It's an investment on behalf of Cameco. Ken, do you want to just talk about Talvivaara for a moment?
Kenneth A. Seitz: Yes, absolutely. So we have been -- we obviously made the investment but we've also had the agreement providing technical assistance in Finland to see recovery of uranium. And that's all going fairly well, as you I'm sure have seen there has been a delay in the environmental licensing, which looks like will be received in now June of this year. So it could be that we expect, we get a few pounds this year, but it could be that it gets pushed into early -- or early 2013, I should say, as well, ultimately ramping up to somewhere around 900,000 pounds a year. So today, we're looking at it as a good source of supply for Cameco as collateralized. It is an investment but, of course, there's a provision to have the funds paid back if we don't receive the uranium. And it's an off-take arrangement whereby we think it's fairly favorably priced pounds for Cameco's portfolio.
Edward Sterck - BMO Capital Markets Canada: And does the expected uranium production rates require Talvivaara to meet their overall production targets with respect to nickel and zinc and sulphur the amounts of ore that they ship through the plant -- or not the plant -- the process.
Timothy S. Gitzel: Ken?
Kenneth A. Seitz: I think it's fair to say that it is a co-mingled deposit. So on the face of it, the answer to that question is yes.
Edward Sterck - BMO Capital Markets Canada: Okay. And then just one question on Bruce Power. The agreement with the EPA and I believe also just the license-- operating license, the reactors are beginning to take a little bit closer, from my collection I think starting towards end of 2015, something like that, that those agreements come to a conclusion and going on for a few years thereafter. Are there any further thoughts on Cameco's ongoing involvement with Bruce B?
Timothy S. Gitzel: We're always looking at our investments including Bruce B. I just say, you're right on with respect to the ore prices, they do start to come off at the end of 2015 with the first one. That said, Bruce Power is in discussions with the Ontario government about extending those. And so we'll just wait to see how that's going. There's, as you know, a lot of political change going on in Ontario. So right now, we're delighted with our investment in Bruce. It certainly was a very good piece into 2012 and it will be a good contributor in 2013.
Edward Sterck - BMO Capital Markets Canada: And the Bruce A reactors required a fair amounts of investment when they were refurbished. If that was, I'm not sure if the Bruce B reactors require refurbishment. Are they in a better situation than the Bruce A reactors were before they were restarted, and would cost be -- or would cost be similar to the Bruce A process?
Timothy S. Gitzel: I think -- well, first, let me say they will need refurbishment when their time comes toward the end of the decade. And so I think they would benefit from the fact that Bruce has gone through it with the A units, a lot of learnings from there. But the cost would be probably similar to what the cost were for the A units. So it's something we'll look at that we are looking at now as to how Cameco will react to that when the time comes. But for the moment, there's no change to our position.
Operator: This will conclude the questions from the telephone lines. If you would -- I would like to turn the meeting back over to Mr. Tim Gitzel for his closing remarks.
Timothy S. Gitzel: Well, thank you, operator, and thanks to everyone who has joined us on the call today. Certainly, a robust discussion and we recently picked up a few themes as well what will try to help going forward. We've recently discussed a lot of the details around our business and the industry in 2012, but I think we can say it really boils down to the 3 things we talked about at the start of the meeting and that is that near-term challenges persist for us and the industry. However, Cameco had a very strong year in 2012 and looks forward to a good year in 2013 and that the long-term outlook for the industry continues to be very strong. So again, thank you for joining us and have a great day.
Operator: The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.